Operator: Good afternoon, and welcome to Asure's First Quarter 2024 Earnings Conference Call. Joining us today for today's call are Chairman and CEO, Pat Goepel; Chief Financial Officer, John Pence; and Vice President of Investor Relations, Patrick McKillop. [Operator Instructions] I would now like to turn the call over to Patrick McKillop for introductory remarks. Please go ahead. 
Patrick McKillop: Thank you, operator. Good afternoon, everyone, and thank you for joining us for Asure's First Quarter 2024 Earnings Results Call. Following the close of the markets, we released our financial results. The earnings release is available on the SEC's website and our Investor Relations website at investor.asuresoftware.com, where you can also find the Investor Presentation. During our call today, we will reference non-GAAP financial measures, which we believe to be useful to investors and exclude the impact of certain items. A description and timing of those items, along with a reconciliation of non-GAAP measures to their most comparable GAAP measures can be found in our earnings release. Today's call will also contain forward-looking statements that refer to future events and as such, involve some risks. We use words such as expects, believes and may to indicate forward-looking statements, and we encourage you to review our filings with the SEC for additional information on factors that could cause actual results to differ materially from our current expectations. I will hand the call over to Pat in a moment, but I just want to take a moment to remind folks of our upcoming Investor Relations activities. On May 15, we will attend the 19th Annual Needham Tech, Media, Consumer Conference in New York. On May 16, we will attend the Jefferies HCM Summit in New York. On May 29, we will attend the 21st Annual Craig-Hallum Conference in Minneapolis. And on May 30, we will attend the 52nd Annual TD Cowen Tech, Media, Telecom Conference in New York. On June 4, we will attend the Stifel Cross Sector Insight Conference in Boston. And finally, we will participate in the Northland Capital Markets Virtual Growth Conference on June 25. Investor outreach is very important to Asure, and I would like to thank all those that assist us in our efforts to connect with investors. Finally, I would like to remind everyone that this call is being recorded, and it will be made available for replay via a link available on the Investor Relations section of our website. With that, I would now like to turn the call over to Pat Goepel, Chairman and CEO. Pat? 
Patrick Goepel: Thank you, Patrick, and welcome, everyone, to Asure Software's First Quarter 2024 earnings results call. I am joined on this call by our CFO, John Pence, and we'll provide a business update for our first quarter 2024 results as well as our outlook for 2024. Following our remarks, we will be available to answer your questions. Our first quarter revenues were strong, coming in at $31.7 million. Our revenues were driven by our contributions from our core business, strategic initiatives and acquisitions, including our Asure Marketplace offering, Payroll Tax Management and interest earned from funds held for clients, which we refer to as float. We believe in 2024, our momentum will grow throughout the year, and we're off to a great start. Advancing our business through artificial intelligence, new technology enhancements, leading partnerships and strategic sales initiatives such as bundling of our 401(k) products with payroll to drive new client additions continues to be part of our strategy. Small businesses in the U.S. have traditionally not been or not had the resources to offer 401(k) retirement solutions. The SECURE Act 2.0 from the U.S. government is legislation that aims to increase employee participation and retirement plans by offering tax credits to support the setup of employer-based retirement plan. Currently, there are around 20 or more states in the United States that have mandated these plans. Also, many more have introduced legislation mandating 401(k) plans for our small businesses. Asure has the solutions they need to set up the plan. Our announcements with Workday and the certification and joining the SAP PartnerEdge Open Ecosystem are really strong validation of advancing our technology and these partnerships will help us with more enterprise-level clients. In today's press release, we highlighted that after receiving the Workday certification, we went live with our first client, which is a Major League Baseball team. This client is an example of the complexity of multistate payroll as the staff and team members incur Payroll Tax liabilities in multiple states each week. We're excited to win this business and look forward to achieving more opportunities with Workday. We also remain excited about our partnership with SAP, which allows us to enhance our Payroll Tax engine by integrating with the SAP system and streamlining Payroll Tax processes for our existing SAP clients. We have also recently formed a partnership with a tax credit firm, HR Logics, which will provide our small business clients with access to capital. The partnership will help small business owners with identifying employer tax credits that many are unaware of, such as work opportunity tax credits, research and development and overall tax credit programs. Our sales bookings helped drive growth and repetitive revenue for the quarter. Our pipeline is strong as we grow our product portfolio and enhance our technology. We are supporting our sales efforts with digital marketing, and we believe will drive higher level of sales leads and productivity in 2024. Based on our current business trends, we're reiterating our 2024 revenue guidance of $125 million to $129 million, with adjusted EBITDA margins of 20% and 21%. As a reminder, this 2024 guidance excludes any potential contribution from ERTC filings, but does include our plans to continue to make acquisitions and grow organically. Our guidance for 2024 implies a 25% growth rate if we exclude ERTC from 2023 revenues for comparison. Now I would like to hand it off to John to discuss our financial results in more detail as well as our Q2 guidance. John? 
John Pence: Thanks, Pat. As Patrick mentioned at the beginning of this call, several of the financial figures discussed today are given on a non-GAAP or adjusted basis. You will find a description of these GAAP to non-GAAP reconciliations in the earnings release that was made available earlier today. Reconciliations themselves are also included in our most recent Investor Presentation posted in the Investor Relations section of our website at investor.asuresoftware.com. Now on to the first quarter results; first quarter revenues were $31.7 million, decreasing by 4% relative to prior year. However, excluding ERTC total revenues were up 10% from prior year. Recurring revenues in the first quarter grew 8% versus prior year to $30.3 million. And excluding ERTC, recurring revenues were up 9% from the prior year. First quarter recurring revenues grew on the strength of our HR compliance solutions, our tax solutions, Assure Marketplace and increased interest revenues with the average client balances of approximately $240 million throughout the quarter. Net loss for the first quarter was $300,000 versus net income of $300,000 during the prior year. Gross margins for the first quarter decreased to 71% from 74% in prior year. Non-GAAP gross margins for the first quarter decreased to 75% from 78% in the prior year. The decrease in gross margins for the first quarter is primarily attributable to a decrease in nonrecurring ERTC revenue. We continue to believe there is substantial margin upside over the longer term as the business scales. EBITDA for the first quarter was $4.4 million, down from $6.8 million in the prior year. Adjusted EBITDA for the first quarter decreased to $6.8 million from $8.2 million in the prior year, and our adjusted EBITDA margin was 22% in the quarter compared with 25% in the prior year. We ended the first quarter with cash and cash equivalents of $23.2 million and we have debt of $5.3 million. Now in terms of guidance for the second quarter of 2024, we are guiding second quarter revenues to be in the range of $28 million to $29 million. Adjusted EBITDA for the second quarter is anticipated to be between $4 million and $5 million. We are reiterating our 2024 revenue guidance to be in the range of $125 million to $129 million, with adjusted EBITDA margins of between 20% to 21%. As Pat mentioned in his comments earlier, these guidance figures exclude any contribution from ERTC revenues, but assume a combination of organic and inorganic growth. Our pipeline of potential acquisitions remains strong, and we feel confident about reaching our objectives. We also remain excited about the outlook for our core products, such as our Payroll Tax offering, which brings additional client fund balances and the resulting float revenues as well as potential for numerous new initiatives we have recently launched, such as the 401(k) solution. In conclusion, we are excited about the remainder of 2024 and look forward to 2024 as being a great year for Asure in driving profitable growth and leveraging the initiatives with implemented across the business to drive sustainable growth and create shareholder value. With that, I will turn the call back to Pat for closing remarks. 
Patrick Goepel: Thanks, John. We're pleased to have delivered solid results in the first quarter of 2024. We remain committed to creating products and technologies that make a difference for our clients. The continuous improvement of our solutions over the last few years is being reflected by the growth of our business, and we're happy to see positive impressions from our client base. The improvement of our solutions is ongoing, and a few recent examples include launching a best-in-class employee self-service and role-based identity access software, embedding a new AI agent into our enterprise Payroll Tax Management platform, which will assist in complex multistate tax compliance inquiries is another example of our efforts. Our business has multiple growth drivers in our core payroll business, Asure Marketplace, Payroll Tax Management and our 401(k) offering, in addition to tuck-in acquisitions. Small business owners in the U.S. are tasked with an enormous challenge trying to navigate all the regulations that have been put in place over the years, and we're offering multiple solutions to these business owners to ease the demand of their time and resources. We anticipate demand for our HR compliance solutions will continue to be healthy as businesses increasingly seek to supplement their internal capabilities with external experts who can help them navigate the increasing complexity of doing business day-to-day. We've added benefit and insurance capabilities in the Asure Marketplace, and we expect to grow going forward. Our Payroll Tax Management Solution has also great potential, as evidenced by the recent news of our first Workday client, a Major League Baseball team going live, and we remain excited about what lies ahead for this business. Our sales initiative in bundling 401(k) with payroll has gotten positive reception. And the SECURE 2.0 Act will allow us to implement many more 401(k) plans, which the states are mandating now, and we expect more to pass mandates in the future. Our guidance for 2024 reflects our expectations for continued growth, and we expect to be delivered with a combination of organic and inorganic growth. When we view the business, excluding ERTC, core revenues continue to grow at a very strong rate and our guidance for 2024 implies 25% plus potential growth. We hope that our discussion today helps illustrate our plans as we move on from ERTC. We now feel the business is rightsized for future success as we enter the remainder of 2024. In summary, we're pleased to have delivered another solid performance in Q1 against the backdrop of some unfavorable year-over-year comparisons, which we will be up against for the next few quarters. The unfavorable year-over-year comparisons will start to lift away in Q4, especially and assuming we achieve our goals, the growth rates will be much healthier as we exit Q4 and enter into 2025. We'll continue to provide innovative human capital management solutions that help small businesses thrive human capital management providers to grow their base and large enterprise streamlined tax compliance. Thank you for listening to our prepared remarks. So with that, I'll send the call back to the operator for the Q&A session. Operator? 
Operator: Thank you. [Operator Instructions] Our first question comes from Joshua Reilly with Needham & Company. 
Joshua Reilly: All right. Nice job on the quarter here. Can [ we give you ] an update on how many acquisitions you've made now year-to-date, how valuations are trending? And where are you relative to the inorganic revenue assumptions that you laid out in the guide initially for the year? 
Patrick Goepel: Yeah, Josh. And just -- by the way, we're fortunate enough to have Eyal Goldstein, our President and Chief Revenue Officer, with us as well to help answer questions. But as far as acquisitions, we made really good progress in the first quarter and anticipate to make a very similar process in the second quarter. We have probably done about a handful of acquisitions here. I don't know if we want to get too much into the noise of what's closed and what's not. What I would suffice to say is I think we are absolutely on track, if not maybe slightly ahead of on track around acquiring. Now, some of them have to implement and some implement very, very quickly and some it takes a month or so. But we're right on track in doing that. What I would say on the purchase price, we're probably just slightly under 2x. We're thrilled with that kind of purchase price amount so far. And it's been a combination of either equity where we've done some small equity deals as well as cash and loans. So suffice to say, we're really bullish about our plan, not only for the year, but the first half of the year, and the integration of those have gone very, very well. 
Joshua Reilly: Got it. That's helpful. And then could we give some more details, what was interest income in the quarter and maybe compared to last year in the same quarter. And is the yield on the float balances up year-over-year or is it consistent with what it was last year? Just some more details there would be helpful. 
John Pence: Josh, this is John. So last year, rough numbers, about 3.5% is what we earned on the client funds balances this year, roughly 4.5%. The balances have ticked up a little bit, but that gives you a rough order of magnitude as to kind of how that's progressed. 
Joshua Reilly: Got it. That's helpful. And then maybe just last follow-up on that. Do you expect it to be 4.5% for the rest of the year or is there more upside potential for the yield to increase. 
John Pence: Yes. So what we factored into our numbers, Josh, was a 0.5 point decrease midyear. Obviously, we don't know if that's going to happen or not. But when we kind of came up with our forecast for the year, we were assuming a 0.5 point. So there might be a little upside into our model depending on what happens on the balance. 
Operator: Our next question comes from Bryan Bergin with TD Cowen. 
Bryan Bergin: So obviously, a big emphasis on your tax solutions in the prepared comments and good to hear about that first Workday client going live. Can you give us a sense on how you're thinking about the growth potential of the tax business and the potential scale as a mix of the overall company over the medium term? 
Patrick Goepel: I think from our perspective, first of all, these are enterprise deals, both SAP as well as Workday. And then just we have opportunities in the reseller mix as well. But as enterprise deals, if I thought about it -- John and I were talking the other day and when we acquired PTM, we -- our kind of payroll businesses was roughly 40% or so of our float. So our standalone business, if you will, is 60%. Float and tax, it's all part of our value proposition. Now since then, we've spent some calories and time and tears and smiles, really growing tax where we're thrilled as we have some of these enterprise partners in addition to PEO partner and Prism and certainly, we're going to grow that business. What I would say implicit in our guide around repetitive revenue, last year, we were about with ERTC, about 84% or so repetitive revenue. This year, we'll finish in the high 90%s. Tax is a big part of that. It's profitable, it's sticky. And the book-to-bill in some of these enterprise clients are a little bit longer than our small business. But suffice to say over a multiyear plan, we think we can grow tax quite a bit. It will be a mixture of fees and flow, and that's all part of the value proposition. But as I was reflecting even on our guidance, we started out repetitive revenue this quarter, growing 10%. If you think about our guidance, we're going to finish the year much stronger than that just based on the numbers. Tax filing is going to lead and be part of that value proposition. So we think there's huge opportunity, and this will be multiyear, but it will also be growth this year as well. 
John Pence: And I'll just put a little bit finer point on what Pat just to make sure it was clear. When we think about those client fund balances, probably about 60% are specific to this tax business. So it's a key part of the strategy. So it's part of how we price it as part of the recurring revenue because of that, right? So that's a really important thing that I think is a little bit nuanced relative to some other payroll companies that don't have that as part of their product and go-to-market strategy. 
Bryan Bergin: Right. That makes sense. Good detail. My follow-up here, so I guess, versus three months ago, how would you characterize the overall ACM demand environment as well as kind of the competitive and pricing environment dynamics in the market? 
Patrick Goepel: Yes. And I'll let Eyal if you want to jump in but just in general, what I would say is we specifically pivoted from ERTC. We've leaned into some of the value proposition around access to capital around getting good people to work as well as to be compliant. And I think that value proposition, we pivoted a bit away from ERTC but that was always part of our value proposition anyway. And we've leaned into some new products and services. What we're really thrilled is this first quarter payroll sales were up 68% over last year. And its evidence that if you get the right value proposition, the right bundles, you can grow. Now I mean it sound easy for Eyal to execute. There's a whole lot of sweat that goes into that but Eyal, maybe just your comments on the market. 
Eyal Goldstein: Yeah. Thanks, Pat. So Bryan, so specifically, we're not seeing any pricing pressures or any issues around pricing for new deals and for upsells within our customer base. We are seeing great growth. Listen, we're -- a lot of our competitors, and they've said it, they've decided to continue to go more and more up-market. So we continue to see an underserved market under that 200 employee range, and that's helpful for us just in terms of deal cycle time and the ability to win more deals. But we're not seeing any pressure specifically on pricing there. 
Operator: Our next question is from Richard Baldry with ROTH MKM. 
Richard Baldry: Maybe looking deeper at that 68% increase in payroll sales year-over-year. Can you talk about how comfortable you are with your sales capacity now hiring plans or goals throughout the year? How is the sales tenure trending? And maybe do you feel like that was geographically or vertically pretty broad or is there any concentration inside of that? 
Patrick Goepel: Yeah. I think just from my level, I'm very pleased with the sales execution. I think the pivot is probably took us about a quarter or so. And then I think in some areas, we referenced standalone tax or the new 401(k), the book-to-bill is probably elongated, about a quarter. What I would say is the ability to hire, the ability to grow, the ability to sell. I think Eyal's team has done very well. But Eyal maybe as you see throughout the year, I think from a hiring, we anticipate around 130. We're probably -- we're very judicious about who we hire and how many people. We're under that a little bit today. But maybe, Eyal, if you want to talk about that? 
Eyal Goldstein: Yes. And Rich, the goal would be to get to about 130 quota carriers by the end of the year. I'm really happy with the pivot, what some of the numbers Pat mentioned was 68% growth in those payroll sales. And just from a new payroll unit, it's almost 100% growth in that area. So those are great healthy ARR bookings that come with tax. They come with marketplace add-ons. They come with some of the additional 401(k), the 401(k) offering that we have and then the ability to cross-sell more to these customers once they go live, right? So a much healthier mix and our ability to pivot that quickly and to grow that core business year-over-year, it's great, and it's only going to accelerate. So the reps that we have doing really, really well high productivity with leading with ERTC are basically on par this year from a productivity perspective, but doing it without ERTC with really good core payroll HCM ARR sales and that's fantastic. That's just going to grow for us as we get more people comfortable with 401(k), get more people comfortable with some of the tax credit solutions that we announced earlier this week where we could just continue to capitalize on it. 
Richard Baldry: Maybe switch back to the tax side on the Workday SAP area, you may look at now, like with early wins, obviously, would build some referenceability. How big can that space be with just those two sort of end market players? I don't know if there's a way to think about the ARPU from your side to think about what a deal size would look like and what's your go-to-market ability to move the dial on those types of deals is or is it really sort of once they build some referenceable basis, then their sellers will push the growth in that? 
Patrick Goepel: Yes. I think sometimes Eyal has a phrase two-comma deals. In small business, where your average sale is somewhere a little over $3,000 you don't hear two-comma deals. We're in some two-comma pursuits, which really is exciting for us. Over time, this could be a $100 million business. And that doesn't mean you should spreadsheet that in '25. But I will tell you, we have an opportunity here, both in treasury management and as well as tax filing. And it's not just the two enterprise partners that are world-class companies. There is the PEO Group, there's software group. We have -- interest level is really, really high. And then some of the development that we're doing, we really feel good about our bundling of treasury management of tax filings, etcetera. So this is a $100 million business [ in it by ] itself over time. And we're just getting started. Eyal, I don't know if you want to highlight anything. 
Eyal Goldstein: The pipeline, which is multiple times year-over-year. I would -- our sales team is -- we're fully staffed on that side from an individual contributor perspective. And we've got folks that I am very confident in that have sold this type of sale specifically before. We understand the competitive landscape extremely well. We're very, very excited about the modernization of the platform and what our CTO has done with the solution. And frankly, we're getting pulled into a lot of opportunities rather than pushing our ways in, and that's always refreshing to see. And then on the deal size, like Pat mentioned, on the higher end [indiscernible], you have 6-figure deals. And then on the lower end, probably 4x, 5x what a normal payroll direct deal is today. 
Patrick Goepel: And then lastly, we brought in an operational leader and staff. I worked with Bill Volkel in the past. He's run $100 million-plus business [ in tax ], and we really beefed up personnel, the operational staff. So we have the right technology people, the right operations, the right salespeople and then the right market at the right time. So this is going to be a foundational growth item. It will take a while because of book-to-bill and because their enterprise sales and growth, but we're really bullish on this opportunity. 
Richard Baldry: Because we don't know the internal sort of base number. Sort of curious without a lot of commitment to this but if the payroll sales were kept up at a clip like the 68% year-over-year, would that imply a longer-term sustainability to keep up the 25% organic growth rate or is that number sort of faces tough comparisons by definition, to come down a little bit over time? 
John Pence: I'll give you my perspective, Rich. I don't think we've ever claimed that this is going to be a 25% organic business. We know that it's going to be a combination of that roll-up strategy and the organic as it was going to get us to scale. So I would say we've been pretty consistently since I've been here, we think we're going to be a double-digit organic grower. I'm not sure we'll be at the 25% level. But I think when you combine with the inorganic side of the house I do think that's achievable. 
Patrick Goepel: Yeah. And then the only thing I'd say implicit in the guide is acquisitions and organic growth, but it's clearly going to accelerate through the year, and then we'll be in a really nice position where we're high 90s repetitive growth that as we launch into '25, we're coming in with a lot of momentum. So that's what we're planning for, and that's how we're [ setting up ]. 
Operator: Our next question comes from Jeff Van Rhee with Craig-Hallum Capital Group. 
Jeff Van Rhee: Several, I just want to clarify, on the 68% payroll sales increase, are you -- is that a comparable number to what you typically quote is your total bookings year-over-year for the quarter? 
Patrick Goepel: Yeah. No, Jeff, we had some noise in with ERTC and some of that -- rather than kind of parse everything out, we just said this year we're -- especially the first three quarters, we have all these compares with ERTC. We have some bundles, whatever. This is just -- obviously, we're a payroll business, and it's a good majority of our revenue. We wanted to highlight that because that's something that I think people didn't feel really good about. And it's clearly an emphasis with our bundles whether it's 401(k) or some of the new products that we have. 
Jeff Van Rhee: Okay. And then on the prior acquired revenue target was $10 million to $15 million, I was unclear. It sounded like you said you're running a little bit ahead of where you thought you'd be. Are you still expecting to be in that $10 million to $15 million of annual acquired revenue? 
Patrick Goepel: Absolutely. I would say we've had a very strong first quarter, first half. Those -- just to start, if we didn't acquire anybody after that, we'd be very close to the low end of the range. So we'll continue to acquire into this. But yeah, we're on pace. 
John Pence: I'll make a quick comment on this, and Pat and Eyal can add to it. I think we've talked about it, I think, on some of these calls previously. There's a unique situation kind of going on in the industry, right? It's kind of opportunistic for us. But with the changing regulatory landscape, a lot of the states are now saying that payroll processing businesses need to be regulated like a bank. And so we were, I think, pretty early on, I think we resisted it because we thought it was pretty aggressive and [Technical Difficulty]. But I would say that three years ago, we decided to embrace it. And so we found out a path to get licensed. It's going to be hard for a lot of the smaller players, some of our resellers to afford that compliance. That's why we launched the Treasury Management Solution. But again, I think a lot of people are trying to decide is it something they want to continue on with, in that we're the natural [Technical Difficulty]. I think we're going to have a lot of opportunities over the coming months to kind of take people into our arms. So that's just another kind of backdrop as regards to acquisitions. 
Jeff Van Rhee: Yeah, definitely helpful, John. I was good a good on that path. I know, obviously, the 401(k) SECURE Act has been an area of focus in treasury also. Just on those two avenues, any other quantification you can give -- give us a sense of the ramp in deal counts, bookings pipeline? Just any qualification in those two areas? 
John Pence: I'll speak to treasury and then I'll let kind of Pat speak to 401(k). We launched this with a partnership with J.P. Morgan. We have people that want to buy from us right now. We're just kind of holding them off as we get it up and running. We want to make sure it's [indiscernible] before we put them on. So I think we're holding that up a little bit just with our -- getting it launched. But -- so I think there's good demand, almost unsolicited demand for that product. And then I'll let -- Pat can talk on 401(k). 
Patrick Goepel: Yeah, just on 401(k) I think first of all, we pivoted and launched almost -- been a week or two, right? We had this plan, but we moved into sales motion and marketing motion very, very quickly. I would say right now, we're probably a couple of months behind where I'd like to be on the marketing sales perspective, but we're cleaning -- we're really starting to pick up the pace. On the book-to-bill, I would say, just based on it's a new business for us we're probably about three, four months behind. But over time, what we want to be able to do is sell and start a 401(k). Probably, I'd like to bring that number in about 60 days. It's somewhere around 120 right now. So we'll go through that just as we grow and learn and get the muscle memory, but that's where exactly where we are in the process. 
Operator: Our next question comes from Vincent Colicchio with Barrington Research. 
Vincent Colicchio: Yeah. Pat, curious, can you characterize your employee base? Are they hiring currently? What does that look like? 
Patrick Goepel: Our employee base or the employee base, obviously our clients, I would say we're looking at that number. We're probably flattish. In some areas, they're hiring in some areas, basically they're holding. I would say access to capital in the small business is still the biggest issue. Some of the regional banks aren't lending and interest rates are a little bit high. But on the same token, getting quality people is still a concern. So from my perspective, it's been flattish. I'd love to say it's -- I do think as we connect more people to the small businesses, it's got a shot to go up 1% or 2% because there still is high-rate demand. I would say they've been unable to execute or unable to get the capital they need to grow, but that's exactly where we are today. 
Vincent Colicchio: How did your bookings break down between new and existing clients? 
Patrick Goepel: We're -- Eyal, I'll let you answer that, but I believe we were -- well, go ahead. 
Eyal Goldstein: Yeah. We're still right around 70% is new business and 30% of the bookings is cross-sell. So again, huge opportunity for us on the cross-sell side, but the majority is still new business. 
Patrick Goepel: And where I'd like to go with that is and we did want to highlight in our release around some of our technology initiatives. This common user interface with Identity Access Management is going to be really good for us as far as the adoption around the marketplace, that's from cross-sell. It allows us to get into event-driven marketing in a big way. So we anticipate a lot of growth from that over time. Now we're rolling this out, and there'll be some learnings here over this quarter and next. But as we get really solid with that, what I'd like to do is take 70%-30% or so new sales more to ultimately maybe reverse it. Now that's not going to happen overnight, but I think that's the opportunity we have. And this technology foundation that we introduced this quarter and some of the subsequent events, that's exactly where we're going. So we feel good about where we are. And then the new logos has been very strong while we get to that point. 
Operator: Our next question is from Eric Martinuzzi with Lake Street. 
Eric Martinuzzi: Curious on the decline in the cash balance from Q4 quarter end to Q1 quarter end were down $7.1 million. Can you help me bridge that? 
John Pence: Yeah. I think a couple of things happened. As you know, the first quarter is always seasonally impacted by W-2 revenues. We collect those funds at -- usually in December, we defer that revenue and we recognize that revenue in the first quarter. And also, we pay -- we have a lot of annual events that happened in the first quarter, whether it'd be bonuses or we have a sales kickoff. And so there's some abnormal spending that always happens in the first quarter. And then the fourth quarter is a little bit inflated usually because of that W-2 cash coming in. And then, obviously, we spent some money on some acquisitions as well. 
Eric Martinuzzi: How much did you spend on the acquisitions in Q1? 
John Pence: I don't have that right in front of me. I think it was a couple of million bucks going from order [indiscernible] from my memory. [Technical Difficulty] 
Patrick Goepel: No, it was more that all in. But because we had the people strategy deal, there was an equity component in that. So that was that piece of it. And then the other thing is the vendor's spend. We do have some annual renewals that come due in the first quarter. And in this quarter, specifically, we had two events where normally we have one. So that -- we are pleased with the cash this quarter, but we do drain a little bit of cash first quarter and then typically, we're better as we go through the year. 
Eric Martinuzzi: Last year, your cash was up $4 million between Q4 and Q1 and this year being down $7 million. I'm just not. 
Patrick Goepel: Yes. Happy to take it offline, Eric. 
John Pence: I think there was a receivable yet. I think -- ERTC would might have come in from the government last year if I'm going from memory. So I think that might have been the dynamic. It's an unusual quarter last year for the first quarter. 
Patrick Goepel: And John, if I can remember correctly, that was close to $7 million. 
John Pence: That's right. 
Patrick Goepel: Yeah. So Eric, that's a [indiscernible] right there. 
Eric Martinuzzi: And have we closed any acquisitions in Q2? 
John Pence: I think there's one disclosed in the subsequent events that we closed yesterday. 
Operator: We have reached the end of the question-and-answer session. I would now like to turn the call back over to Pat Goepel for closing comments. 
Patrick Goepel: Yeah, I appreciate everybody's time today. A lot going on at Asure, it's a great time to be here. We appreciate all of you. Patrick mentioned we have a lot of investor outreach here over the next quarter, and we hope to see you soon. So thank you. 
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.